Michael Green: Good morning, everyone, and welcome to this presentation of Handelsbanken's results for the second quarter and the first 6 months of 2025. The second quarter showed an operating profit of SEK 7.2 billion. The ROE was 13%, which was unchanged compared to the previous quarter. Income dropped compared to the first quarter this year. This was mainly due to a catch-up effect from Central Bank rate cuts seen in the previous quarter, which affected NII. A touch lower; asset management fee and commissions as the average asset assets under management were affected by lower average stock market indicates. Temporarily -- temporary effects on the NFT relating to valuation of instruments used to hedge risk, and not least effects from a significant strengthening of the Swedish krona, affecting mainly the NII. Costs, on the other hand, remained stable at a materially lower level compared to a year ago, being down 4% on an underlying basis. Year-on-year, despite general inflation, also the annual salary revision was carried out in the beginning of the year. The cost-to- income ratio amounted to 44% in the quarter and 42% in the first half of the year, up a touch from last year, but still at a low level in a historical context. Net credit losses again, now for the sixth consecutive quarter amounted to net credit loss reversals. And we have highlighted -- as we have highlighted many times before, the bank is run with not only low credit risk but also low funding and liquidity risks and an ample liquidity portfolio amounting to around 1/4 of the total balance sheet. In addition, the capital position is robust with the CET1 ratio of 18.4%, which is 50 basis points above the long-term range target. This, all in all, puts the bank in a solid financial position. The anticipated dividend, which is deducted from the capital base for the first half of the year amounted to SEK 7.15 per share or 120% of the earnings generated. Now if we look closer at the financial summary of the second quarter compared to the first quarter this year, ROE amounted as said to 13%, NII declined by 6% to SEK 10.7 billion or by 4% when adjusting for FX impacts. Fee and commission were down by 1% to SEK 2.9 billion, primarily due to lower average market values of the assets under management in the wake of volatile stock markets. The customer-driven NFT in our home markets and Handelsbanken Markets division progressed well and increased in the quarter by 10% to SEK 504 million. This part of the NFT is rather stable and relates to the bank's customer offering within the fields of FX, fixed income and equities. Other NFT components are more volatile by nature. We are then talking mainly about impacts from market valuations of derivatives used to hedge risk in the funding and liquidity management of the bank. The market value of these derivative contracts, however, pull to par over time. Furthermore, in Q2, there was a negative one-off effect of the -- SEK 121 million negatively impacted relating to the divestment of the credit card portfolios in the subsidiary Ecster in Finland. So all in all, the NFT amounted to minus SEK 64 million, but as said, largely due to temporary effects in total income dropped by 8%. Expenses were, on the other hand, down 2% compared to Q1 if we adjust for FX effect, Oktogonen provisions and restructuring expenses costs were down marginally. The cost-to-income ratio was 44% and 43% on an underlying basis. The net credit losses amounted to a net reversal of SEK 219 million or 3 basis points, bringing the operating profit to SEK 7.2 billion or down 12% compared to Q1. If we instead compare the first half of the year compared to the same period last year, NII declined by 6%, again mainly as a result of the material cuts in Central Bank policy rates and FX effects. Net fee and commission income remained resilient and increased by 1%, with the key contributor again being the savings and mutual funds business. And due to aforementioned reasons, the NFT declined a bit. On the expense side, we saw an underlying reduction by 4%. The decline comes as an effect of the cost initiatives carried out over the last year which has a wide -- which by a wide margin offset effects from general inflation and salary increases kicking in at the beginning of the year. Net credit losses were higher compared to last year and amounted to -- reversal, sorry, net credit loss reversals were higher than last year and amounted to SEK 273 million compared to SEK 228 million a year ago. All in all, the operating profit was down by 9%. Now if we take a closer look at the NII development compared to the previous quarter. As said, the NII dropped 6%. Volume development had a positive effect of SEK 57 million or 0.5 percentage point. The net of margins and funding contributed with an almost 5 percentage point drop. In the quarters of policy rate cuts, there are often a positive effect that arises from the fact that parts of our deposit reprice earlier than part of the lending. This relates simply to different contractual dates for repricing. Q2 was the first quarter in quite some time when the policy rate was flat in more or less the full quarter in our largest home market, Sweden. That meant that the positive repricing effects seen in previous quarters did not repeat and explain the lion's share of the decline in net margins and funding. Furthermore, the material appreciation of the Swedish krona resulted in around 1.5 percentage point drop in the NII. Other effects, all in all, had a net neutral effect. Net fee and commission income for the first half of the year increased by 1% compared to last year, but it was slightly down versus Q1. The majority of the fee and commission comes from the savings business and in particular, the mutual funds offering. The bank has for more than a decade continuously had a market share of net flows into the Swedish mutual funds market at around 2x the market share on the bank's currently outstanding mutual funds volumes. We saw that trend continue during the quarter as well as the first half year. The assets under management are, however, of course, affected by the price development of financial markets. So in Q2, the positive impact from a continued healthy net inflow into mutual funds were offset by lower market pricing on average. The second largest fee and commission line is payment fees. These were up along with normal seasonality and fairly stable compared to last year. Also, the other fees were stable. Now over to the expenses. So over the past -- over the course of the past 12 months, intense internal work has been carried out to establish the bank in a more cost-efficient position. The total staffing, meaning employees and external resources was down by 9% compared to when the internal efficiency work were initiated in Q1 last year. And the total underlying costs were down 5% compared to Q2 last year. As a result of the previous year's elevated level of IT development and spending and fairly material rollouts of new IT systems and tools, the organization is now step-by-step implementing and extracting the benefits from these. For example, in the field of CRM, FCP, internal workflows, customer interaction in areas with of signing documentation and onboarding, advisory tools, M365, cloud solution, to name a few. This leads to step-by-step streamlining of daily procedures, improves efficiency and productivity as well as the productivity and quality in the customer advice. While the investment pace now can be run at a slightly lower level compared to previous years. It does not mean that we will not continue to have a high focus and continuous IT development. It is of utmost important that we maintain the top-notch quality in our digital channels, and we will continue to ensure that, that is the case. Now over to asset quality and credit loss reversals. Since Q4 2019, meaning before the outbreak of the pandemic and the subsequent more or less mandatory buildup of management add-ons. The net credit losses have been summed up to more or less 0. This includes a period with stress for corporates relating to the pandemic, from sharp rate hikes, disruption of supply chains, war breaking out in the Ukraine, tariff, turbulence, et cetera, et cetera. Still no credit losses. This very much underscores the bank's prudency in regard to managing credit risk, both in terms of risk appetite, customer selection as well as consistently -- consistency in underwriting and preference for collateralized lending. But it also comes as a result of the ability to detect early signs and the ability to quick make necessary actions in situations of changing and deteriorating financial positions of customers. In this context, the local presence through our branches and the close relationship with customers makes a vital difference. After 5 years of management add-ons, the final part of SEK 121 million was reversed in the quarter. And in Q2, there was also a positive effect of SEK 48 million related to the aforementioned sale of Ecster Finland credit card portfolio. Excluding these two effects, the remaining net credit loss reversals amounted to SEK 47 million. In the bank, we always strive at limiting funding, liquidity and market-related risk as much as possible. This in order to ensure the capabilities to always be able to support customers and to safeguard the bank regardless of whatever unknown external events that might occur. Over the past few years, we've indicated -- increased the already ample liquidity buffer to add even further protection to the bank. Currently, the liquidity reserve amounts to around SEK 900 billion, meaning representing about 1/4 of the balance sheet. And on top of that, there are unencumbered assets, which in practice means an additional liquidity buffer in the form of unused room for covered bond issuance. And on top of low credit risk funding and liquidity risk, the capital situation is robust with a CET ratio of 18.4%, which is 50 basis points above the bank's long-term range of 100 to 300 basis points above the regulatory requirement. The solid financials put the bank in a position of strength, being one of the most trustworthy and stable counterparts in the industry. And this view is shared by the leading rating agencies who rate the bank the highest among comparable banks globally. Now a few words about the respective home markets. In our largest home market, Sweden, which accounts for almost 80% of the earnings of the group, the development is stable. The cost-to-income ratio was 32% in Q2 and the profitability above 16%. The market position in Sweden is strong with the bank being the largest combined lender in private and corporate lending. During the first half of the year, the inflow of savings has continued to show a positive development as mentioned earlier. In addition, the inflow of savings in the form of household deposit also progressed well with an increase of SEK 17 billion or 4%. Total deposits were up 2%. In Norway, we've seen improvement since a year back. The cost-to-income ratio has improved from 46% in Q2 last year, down to 42%. In this quarter and the -- in this quarter, sorry -- and the ROE has increased from 10.9% to 11.3%. After a refocus period that was starting during the spring last year, the business growth is now more balanced between lending, deposits and savings and cost initiatives are also gradually starting to show in the numbers. In the U.K., we have the most satisfied customers in the market. Volume growth, however, remains relatively subdued although Q2 was the first quarter in a very long time when household lending increased. We do note small signs of increased customer activity, focus on the recent quarters has been on improving the efficiency, and we're gradually starting to see initiatives filtering through in the cost base. In Q2, the staffing dropped by 90 persons or 3%, mainly within central functions as a part of the efficiency initiatives. As a result, there were restructuring expenses of SEK 47 million. The return on allocated capital increased somewhat compared to the previous quarter and amounted to 13%. Finally, the Netherlands, which is the smallest home market of the group, volume continues to grow on the lending asset and asset management side. However, the cost-to-income ratio and ROE deteriorated in the quarter, mainly as a result of negative effect from margins and funding in the NII. Finally, a few words to wrap up where the bank stands after this quarter. NII has adjusted to a lower rate after being temporary impact for some time. We have seen similar patterns in the past. During a rate hiking cycle, the bank can often regain previously pressed margins by benefiting from sticky pricing on transaction account, while the yield on the asset side increase. During a rate cutting cycle, on the other hand, the bank can often partly offset the negative impact from lower deposit margins by benefiting from contractual timing differences between when deposits and lending are repriced. When the cycle ends, these effects fade just like we saw in Q2. Lending volume growth still remains slow, partly due to higher amortization levels than normal, but having gone back to a positive territory in all of our home markets. While the lower policy rates haven't yet materialized in an expansionary climate for our clients, customers, our branches have noticed a slight pickup in activity with our corporate clients during the past months. The commission business is picking up, and we see momentum continuing to build in the customer savings volumes. During the recent past, when the macro picture have remained muted, we have significantly and carefully addressed the expense level and the efficiency in the way we run the bank. And now we have a materially low level run rate compared to just a year ago. The bank has proven the exceptional asset quality through a few challenging periods such as COVID, Russia's invasion of the Ukraine, high inflation periods, supply chain and trade difficulties. We have also ensured a strong capital and liquidity position. And not least, we continue with our endless effort on making sure that our advisers in our branches are close to and easily available for our customers, and we have strengthened the local presence in our branches even further. We are in a good shape. When GDP and customer activity eventually recover, a strong branch network with satisfied customers along with a strong financial position should lead to business and income growth. Income growth matched with cost control should in turn lead to increased earnings growth and value creation for our shareholders. With those final remarks, we now take a short break before moving into the Q&A session. Thank you. [Break]
Peter Grabe: Hello, everyone, and welcome back to the Q&A session. This is Peter Grabe, Head of Investor Relations speaking. And with me for this Q&A session, we have the CEO, Michael Green; and CFO, Carl Cederschiold. [Operator Instructions] And with those words, operator, could you please have the first question, please?
Operator: [Operator Instructions] Your first question today comes from the line of Andreas Hakansson from SEB.
Andreas Hakansson: I wanted to start with a bit of a high-level question. I mean when we calculate your return on equity in the same way as we calculated for all banks, you come to roughly 11.5%. And when I look at your four home markets, Sweden is doing relatively okay and the other three countries is a drag. And then when I look at your revenue mix, you see that in the U.K., Norway and Holland, you roughly make 90% of your revenues in NII in all these three markets, and rates are expected to fall quite long in both from ECB and Bank of England. So that's going to be a continued drag. And at the same time, the only real efforts I see from you guys is to reduce number of employees and focus on cost, and I would argue it already the most cost-efficient bank in the Nordic region. So I wonder where are the growth is going to come from? Isn't it time to start to invest rather than continue to grow? And how can we turn around to profitability? And I mean you bought Heartwood, I don't know, 20 years ago, and I still don't see any effect of it at all. So I just wonder, is it -- any plans to turn around the profitability problem? Or what can we do here?
Michael Green: Thanks, Andreas, Michael here. I agree with you that the importantness of having a more balanced income mix going forward is very important for us as well. And I've addressed that during quite a few quarters now on these reports. But I don't really agree with that we're not doing anything because it's about how you also lead the bank. So the focus from my perspective and our heads or branch managers is very much into the fee business. So -- and as you know, it takes a while to change things, but we are very focused and determined to have a better impact on the commissions than we've had before. So we do a lot of things, but that's more internally and how you run the bank. When it comes to the impact or the benefit of Heartwood, the acquisition or Heartwood and also Optimix. I agree with you. We have still more things to do there to get really benefit from those acquisitions. I agree with you.
Andreas Hakansson: I mean isn't it time to hire 2,000 people and spend SEK 2 billion, SEK 3 billion in order to grow the business again. I mean we're talking about -- you can't just do it one guy here and there in the branches, aren't we talking about structural changes that need to be done?
Carl Cederschiold: Yes. Andreas, it's Carl as well. First of all, I think Norway is quite a good example of the restructuring we've done actually. As we've said for quite a few -- quite some time, we weren't pleased with the business mix we saw in Norway. It wasn't enough ROE generating. So we have invested quite a lot, and we've obviously strengthened a few client relations. And thereby, what you've seen during the year is that we actually have a really healthy an ROE-generating business growth. We grow more in assets under management and deposit taking than we do on lending. So thereby, I think Norway is in quite a good shape actually to start -- to progress that journey. It won't happen over a quarter, but nevertheless, the growth we've seen over the last year is moving Norway in the right direction, and then we keep on working. We have more to do in U.K. and Netherlands, as you point out, and we definitely are working on moving them in the right direction. And that's a combination both of actually setting up the IT structure and make the branches being able to be productive. And the branches then elevate their usage of time into do more advisory business. and then we move ourselves in the right direction. So you are correct that we put a lot of emphasis into becoming more capital light and more ROE generating.
Operator: Your next question comes from the line of Magnus Andersson Andersson from ABG Sundal Collier.
Magnus Andersson: Just following up on Andreas' questions there regarding primarily the U.K. where -- I mean, cost-to-income ratio now, now you have the small restructuring charge, but it's closing up on levels we haven't seen since rates were very close to 0 or just about 0 with difference, of course, that rates are above 4% now. So I was just thinking there, is it still primarily -- I mean, now you've taken some measures on headcount, should we also see the number of branches come down? Is there anything broader to do on the structure there? I also note that you have lowered your allocated capital to the U.K., which means that profitability is fairly unchanged quarter- on-quarter despite the higher cost-to-income ratio. The same goes for Norway, which keeps up profitability, whether that's due to the fact that your dividend is out of the numbers, you have lowered it for all business areas or if it tells us anything about your outlook expectations?
Michael Green: So I don't think you should expect to see any change when it comes to a number of branches in the U.K. We are in a good position there. They have the same challenge as we just mentioned when we talked to Andreas Hakansson. So you wouldn't see that coming through you. Maybe see a bit extra cost coming down in the head office, but just a bit. So they've done their work and try to be more efficient on the head office side and they have restructured the -- some part of the branch network a year ago, but not more than that. When it comes to capital allocation, it's not really my turf, maybe but -- you're right, it's lower due to the dividend that we paid out in Q2, and of course, for all of the home markets.
Carl Cederschiold: It's geared to dividend, and Magnus, it's also due obviously to the reduction of the 0.5 percentage points in CET1. So most of the home markets obviously see a reduction now in allocated capital. But it's not -- we haven't changed anything in our steering model, so it's not like a subjective choice to spend more money there and they return -- good returns on it.
Operator: [Operator Instructions] We will now go to the next question. And your next question comes from the line of Gulnara Saitkulova from Morgan Stanley.
Gulnara Saitkulova: On the capital buffer, so in your prior quarter, you have returned to the longer-term management capital buffer range of 100 to 300 basis points. However, your capital levels remain above the upper end of that range. Do you intend to maintain an additional buffer above the higher end of the range or more broadly in terms of capital planning? Would it be fair to assume that you are aiming to stay towards the upper end of the range rather than around the midpoint? How should we think about your approach? And is it somehow related to the output floors or longer-term capital headwinds that may potentially come through?
Carl Cederschiold: Thanks, Gulnara. Well, as we've kept saying, we -- in the long run, we definitely want to run within the normal target range of 1 to 3 percentage points. So we still are above that target range. And what we said is also that, yes, we like to be definitely seen as the most secure bank in the world, and we're not in a stressed mode to bring it downwards. But nevertheless, we will go down into the normal target range. What we've also said is that we -- the implication of a full Basel IV movement, which will come obviously 2032, '33-ish, we see neutral effect from. So you shouldn't guide us that we have any view on where we should stay within the target range to adapt to Basel IV. Rather, it is a range which we will stay within.
Operator: Our next question comes from the line of Namita Samtani from Barclays.
Namita Samtani: I see your deposits in USD have halved in the second quarter versus the first quarter. I guess that's seasonal, but correct me if I'm wrong, and cash and balances within the Central Bank in the U.S. also declined quarter-on-quarter. I just wondered if this is a material impact on your NII in the second quarter? Or are you able to quantify it?
Carl Cederschiold: Thanks, Namita. No, we can confirm it doesn't have any major implication on the NII development. We're actually quite pleased to see the deposit development in the quarter, where we think in the home markets, and especially in Sweden, we actually do attract quite good volumes in household deposits plus the savings into assets under management. So I -- we haven't changed anything in strategy. And most likely, the dollar deposits are quite a volatile number and that you shouldn't read anything long term into it.
Operator: Your next question comes from the line of Tarik El Mejjad from Bank of America.
Tarik El Mejjad: A question please on lending growth. One of your competitors posted quite good numbers quarter-on-quarter, year-on-year on mortgages and corporates. I mean you've mentioned that on your home markets, you have a good growth, but I can see that it's actually been 0 quarter-on-quarter. First question, I mean, where do you see the difference between the two? And why we haven't seen much actually feeding through your business? And secondly, is your comments which sounds more positive than the actual print suggests that it's more what you've seen at the end of the quarter or maybe early in Q3?
Carl Cederschiold: I think it's fair to say that, I mean, we are obviously -- we're pleased to see that we're back to positive growth numbers. We're not pleased with the growth level as such. But it is obviously on a journey to become more constructive. What we've seen and what we've heard in the market is obviously that growth in transaction business is picking up, but the real growth hasn't really picked up in the economy as of yet. So what we see right now is in our mortgage business, we see quite good inflows, and we're picking a fair market share there. So we're quite pleased to see that. We still see by historical numbers, quite high amortizations, even though they start dropping off. So we are looking constructive. And with the rate levels we have right now, we wouldn't be surprised if we return to growth quite soon. The same goes more or less for the rest of our pockets into the lending business. In U.K. business, we still see a good pipeline even though our corporate clients are amortizing to a higher degree. We have actually improved or increased now the number of nationwide brokers we cooperate within U.K. So we're up to 9 brokers now. And we are more or less starting finding each other, understanding our various business models. They understand our credit policy and the credit standards we want on the lending to pursue, and we understand the way they work. So it looks quite decent, actually, the development there. And even though it's minimal, we're pleased to see black figures in our mortgage lending in U.K., which is quite a trend change, actually, if you look compared to the last 5 to 6 years. Corporate side in Sweden, it is bubbling to some extent, and it is showing signs of strength. But so far, the real economy hasn't picked up. So I think it is a matter of we need to see both consumption and business going and then we can start to see more consistent growth coming back.
Operator: Your next question comes from the line of Shrey Srivastava from Citi.
Shrey Srivastava: My question is on timing differences, which as you've noticed, reversed out to some extent this quarter, and that was related to rates being sort of flat for the first period in the long term. So is the correct interpretation of that, that we post the most recent Riksbank rate cut, you're going to see another round a positive timing differences sort of maybe in the third quarter, just conceptually speaking, like one of your peers said today, do you expect NII to bottom sort of 3 to 6 months after the last rate cut?
Carl Cederschiold: Yes. Thanks, Shrey, for the question. Yes, I think you're correct. I mean, the Riksbank cut 20th of June. And obviously, then from a contractual perspective, we do reprice the deposit taking quicker than we reprice the lending. Having said that, we have a higher proportion nowadays of the deposit at transaction account where rates are already 0. So the timing effect are shrinking whilst we're approaching lower rates.
Operator: Your next question comes from the line of Nicolas McBeath from DNB Carnegie.
Nicolas McBeath: A follow-up question on the cost and the staffing trends. So we saw that FTE and staffing continued to decline in Q2. So down quite a bit, in particularly in the U.K. So I was wondering whether you could comment what direction do you see for FTEs and staffing in the second half of 2025?
Carl Cederschiold: Thanks, Nick, for the question. I think it's fair to say that we are quite pleased with the journey we've had for the last year. We put a lot of focus, and we have achieved quite a lot, taking the total staff level down by 1,200 people. So we think that's quite good. We are mostly done with the more or less one-offs or the program like actions. Having said that, we are also pleased to see the cost consciousness and the cost culture we've built. And we can obviously see that we -- all parts of the bank are working quite a lot to achieve efficiency gains. But you shouldn't extrapolate the same trends, which we've seen for the last years going forward.
Operator: Your next question comes from the line of Patrik Nilsson from Goldman Sachs.
Patrik Nilsson: I just wanted to follow up on profitability and maybe it's a bit similar to the previous question asked, but a bit differently. But I was just curious to hear your thoughts. If we take a very long-term view, so 10-plus years, is the ambition to have a materially higher return on equity than today? And if so, will the biggest driver of that be a higher share of fee income? Or what are the other moving parts that could change over time that would benefit sort of the structural profitability of the bank and also like looking beyond changes in interest rates and so forth?
Carl Cederschiold: Thanks, Patrik, and please fill in afterwards. Well, first of all, I think you have a relevant time period when you're asking that question because if you look at banking like 20 years ago, I think it was fully feasible to be very return on equity generating by having a very high proportion of lending. And obviously, with the asset quality we have, we could as well keep less capital. Having said that, obviously, time has changed and time will change as well. We're approaching Basel IV going forward. And at that time, we will see an even further leveling out of the playing field. Right now, we're in the midst as a bank of having quite a lot of capital vis-a-vis our asset quality. So we have high capital density, if you put it that way. We think approaching Basel IV that will play to our advantage. We think other banks will be more negatively impacted than that than we are. Whilst moving into that time frame, we're putting a lot of focus on improving the capital-light components. And I agree with both the previous question maker and yourself in that obviously, we need to improve that component. And I think we've come -- we've made some progress. If you look at our Swedish business today and compare it to 15 years ago, it's a different magnitude. We attract a lot of the capital-light business now, primarily into the household savings business and asset management. We're making a lot of progress into the pension business. We're attracting a lot of deposit taking into that one. So when we look at our movement, we can definitely see that we are very return on equity generating on the growth we're making. So I think it is -- for us, it is a matter of progressing that and even speeding it up, especially outside of Sweden, increase in the capital-light components there. And then we're very satisfied with the situation we have with the branches because we believe we are in a really good situation to actually build the long-term relations where you offer the clients a need for their banking business for all of their life. And if you do that, you will over time match the balance sheet of a client, and then you attract both lending, obviously and deposit taking and savings. And that's quite a good business. That's quite a good situation to be superior in ROE over a long time.
Operator: Your next question comes from the line of Riccardo Rovere from Mediobanca.
Riccardo Rovere: You have brought the overlays to 0, the portfolio expert to 0. What makes you confident that you don't need any sort of buffer on that side? And related to that, is the SEK 7.15 EPS per share that you have accrued somehow indicative for the full year?
Carl Cederschiold: Thank you, Ricardo, and please fill in the other one. So I think as you say, yes, we have actually the add-on, which we started adding when COVID broke out. We've actually released the last components of. So SEK 120 million comes from that breaking up that add- on. And yes, so far, we don't then have any add-on anymore on that component. We're obviously extremely pleased with the asset quality we have. We've proven through COVID, through Ukraine, through high interest rate and inflation times and now through tariff times that are asset side and our client base are extremely resilient. So -- and I think it's also fair to say that if you were to look at both previous to IFRS 9, obviously, when you saw actual credit losses and afterwards, obviously, when you start seeing us proactively putting both ECL Stage 1 and 2, but also add-ons in place. I think we've always have had less add-ons or less credit losses. And that's what we're expecting going forward as well, and that comes down to our credit process and the way we work with our clients. So we are quite pleased with the situation we are in. And yes, we don't feel the need of the add-ons.
Peter Grabe: And then in terms of the anticipated dividends, whether those are indicative of the full year dividends, I think you should see it as the dividends being sort of the residual to reach the CET1 ratio. So the SEK 7.15 is simply what you get to if you want to run at 350 basis points about the SREP. So depending on your earnings estimates for the second half of the year as well as your assumptions in terms of risk-weighted assets and other CET1 components, then you will -- by calculating the residual, you will get to an expectation of the dividend for the year.
Operator: Your next question comes from the line of Jacob Kruse from Bernstein Autonomous.
Jacob Max Kruse: Just one question then. I wanted to ask, when you do your Basel IV roll forward on the credit risk weights, how do you treat housing associations there? Are they remaining at a very low, I guess, 3% risk weight that you assume? And are you confident that you can treat that way?
Carl Cederschiold: Well, when we're approaching -- and thanks, Jacob, for the question. When we're approaching Basel IV, we will obviously have an output floor of 72.5 percentage of a standardized risk weight as long as we're keeping an IRB bank, which we will. And thereby, I mean the total portfolio of Handelsbanken will come to a capital need. We don't know as of yet, but it could be that we have more degrees of freedoms when it comes to how much we're allocate in capital terms to our subcomponents of the portfolio. Today, as you say, yes, there are no risk weight floors on housing associations, whilst they are on other components, which we, as a bank, might think are as little risk in as housing associations. So we'll see what kind of degrees of freedom we will have. We know that ECB is obviously of the opinion that we should see less of a national -- the different countries keeping their own risk weight floors. We'll see. I wouldn't rule out that we have more degrees of freedom when it comes to the way we capitalize subpockets. And I think that will be good for us as a bank as well because then we can see where our real strengths are, and we can build more on these kind of components when we allocate capital. But time will tell. But once again, we're reiterating that we see neutral impact on an aggregate level moving into Basel IV.
Jacob Max Kruse: And just what is the standard risk weight you assign in that flooring calculation to that book?
Carl Cederschiold: Well, they're obviously different in different portfolios.
Jacob Max Kruse: I mean, in the housing association portfolio?
Carl Cederschiold: I don't actually have that in my head. So we will have to get back to you, Jacob, with more details on these issues then.
Operator: We will now take our final question for today. And our final question comes from the line of Tarik El Mejjad from Bank of America.
Tarik El Mejjad: It was on the group treasury and other day count effect, which was negative this quarter. It was positive in Q1. I think you've highlighted in the previous quarter that H2 will have a lower day count effect than first half. Can you explain please the moving parts? And what's the outlook for this NII moving parts?
Peter Grabe: Yes. As we highlighted in Q1, the day count effect should be expected to be somewhere around SEK 20 million to SEK 30 million on a net basis because you have different drivers affecting in different directions if you look at the treasury versus in the respective countries. So I think from an overall point of view, going forward, you should look at the net figure on the day count effect for the group. In terms of the gross number for the treasury, we're going to have to come back. So please drop us a line after this call, and we can go through that.
Operator: That was our final question for today. I will now hand the call back for closing remarks.
Michael Green: So yes, thank you, everyone, for taking your time and talk to us. And I wish you all a very nice summer and vacation if you have one. So see you next quarter, if not anywhere else. Thank you. Goodbye.
Carl Cederschiold: Thank you.